Operator: Greetings, and welcome to the Tecogen Second Quarter 2025 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce Jack Whiting, General Counsel. Please go ahead.
John Kimball Whiting:
General Counsel & Secretary: Good morning. This is Jack Whiting, General Counsel and Secretary of Tecogen. This call is being recorded and will be archived on our website at tecogen.com. The press release regarding our second quarter 2025 earnings and the presentation provided this morning are available in the Investors section of our website as well. I would like to direct your attention to our safe harbor statement included in our earnings press release and presentation. Various remarks that we may make about the company's expectations, plans and prospects constitute forward-looking statements for purpose of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by forward-looking statements as a result of various factors including those discussed in the company's most recent annual and quarterly reports on Forms 10-K and 10-Q under the caption Risk Factors filed with the Securities and Exchange Commission, and also available in the Investors section of our website under the heading SEC Filings. While we may elect to update forward-looking statements, we specifically disclaim any obligation to do so. So you should not rely on any forward-looking statements as representing our views as of any future date. During this call, we will refer to certain financial measures not prepared in accordance with GAAP. A reconciliation of non-GAAP financial measures to the most directly comparable GAAP measures is provided in the press release regarding our second quarter 2025 earnings and on our website. I will now turn the call over to Abinand Rangesh, Tecogen's CEO, who will provide an overview of second quarter 2025 activity and results; and Roger Deschenes, Tecogen's CFO, who will provide additional information regarding second quarter 2025 financial results. Abinand?
Abinand Rangesh: Thank you, Jack. Welcome to our Q2 2025 earnings presentation. We've made tremendous progress towards our data center strategy. We've hit some key milestones and have generated leads for much larger projects. I'll update shareholders on progress to date, feedback from prospective customers and how we plan to scale up. We also have an exciting product announcement. Before we get into these, I want to address the one setback during the quarter, the lower gross profit margins. This quarter, we shipped the first few units of the hybrid chiller. It had lower margins than our other products because we bought materials and lower volumes and had higher labor costs as we refine our production process and gain experience building the product. The supply chain for this product uses easily available components from multiple sources, so volume production will lead to lower costs. The other products shipped this quarter had similar margins to before. On the Services segment, our margin decline was due to increased costs in New Jersey and Manhattan. Post COVID, travel times into Manhattan and between sites has increased. This has led to longer days getting the work finished, especially during the summertime when both chillers and cogeneration systems are running. This led to a much higher overtime labor hours. We have also been making improvements to our InVerde engines to double the oil service intervals. The majority of our InVerde units are in Manhattan. So although this has a short-term hit to profitability, in the long term, this will significantly increase gross profit margins on the InVerde. To better improve labor efficiency, we are working with our customers so we can have parts drop off at sites ahead of service and tools stored at some of the larger sites. This means that technicians can travel between sites faster, either by parking at one location and taking the subway or having a truck drop-off technicians at each site. We are also creating teams of technicians who are experts on each type of product so that diagnosis and service can be performed faster. With these changes and the increased InVerde service intervals, we are still targeting gross profit margins on service of greater than 50% within the next 9 to 12 months. However, management's priority is on the data center strategy. This will have the largest impact on shareholder value. My goal is to put us in a position where the market demand for our technology exceeds supply. This will, in turn, lead to great strategic options. For those of you who are new shareholders, I'd like to reiterate the value proposition that Tecogen offers to data centers. As chips have become more powerful, they need more cooling. Cooling systems are designed for the worst case, hottest stay, full AI load. In some parts of the country, this can be as high as a 120-degree Fahrenheit. When you design for the peak, you tie up a lot of the data center's power since you don't know when you'll need to turn on the cooling system. In the past, this wasn't a big problem. But with the latest NVIDIA Blackwell chips, it could be anywhere between 25% to 35% of a data center's power. And it's only increasing as chips get more powerful. If you take this peak and move it to natural gas, you will have a lot more power for IT. I know many of you might have heard of data center cooling technologies such as liquid cooling, emergent cooling, et cetera. All these technologies are targeted at what happens inside a data center. All of these technologies still connect to a chiller today powered by electricity to eliminate this heat. Our chillers can interface with any of these liquid cooling or emergent cooling options. I'll explain what makes Tecogen solution unique and how we plan to expand our technology edge. But first, I'd like to walk through some of the projects we are quoting and why our solution is being considered. We have signed our first LOI with a 100-megawatt-plus data center. This letter of intent contemplates delivering 6 STx chillers in Q4 or early next year, depending on the customers' construction schedule. The chillers will be used for part of the room cooling load in the first phase of the project. If the customer likes the chillers, they will use more of our chillers for the subsequent phases of the project. This project has great potential as the customer expects to eventually expand the site to greater than 500 megawatts, and we hope to grow with them. This project is one of the best use cases for our chillers. The customer has some grid power, so they want to save it for IT on -- not waste it on ancillary loads like cooling. We've also been asked to quote 2 projects with 60 to 100 chillers apiece. These projects expect to commence construction sometime in 2026. The timing on these projects is contingent on the data center of signing their anchor tenants and receiving construction financing. On one of the projects, the potential customer wants to use our chillers to increase the power available for IT in two ways. The first is for cooling the chips. The second is for turbine inlet cooling. In some of these larger data centers, customers are building on-site power plants with gas turbines from large companies like GE, Caterpillar, et cetera. As the outside air gets hotter, these gas turbines or jet engines make less power. If you can cool the air entering the power plant, you get a lot more power. So our chillers are perfect for this since they run on natural gas, the same as the gas turbines. We have also received other inquiries where we are at earlier stages, but have similar potential in terms of chillers per project. Currently, these leads are from our own marketing efforts. As mentioned before, we've been going to trade shows, doing direct outreach to data center developers and to engineers designing data centers. As a result, we are getting great inbound leads. With our recent capital raise, we have also engaged a marketing firm and plan to advertise in key data center publications. Over the last 3 months, we also continue to have strong engagement with the Vertiv team. They have put together a great marketing plan. Their marketing plan has taken slightly longer to be approved internally, but we should see more from them soon with activity ramping up over Q3 and Q4. We have also been developing some relationships with very large data center developers. For example, we were on a call with a developer who is deploying 80 or more chillers every 2 months. They have their key engineers and [indiscernible] people on the call with us. Feedback from them has given us a better understanding of decision-making for bigger projects. Some of the key areas that we've learned from this is: First, speed of deployment and avoiding space usage inside the data center was critical for them. Therefore, they wanted a solution that requires minimal engineering design, and was prepackaged to be installed on our roof or outside our data center. Second, to be considered for larger projects, we needed to have a significant production capacity. Our team looked at how we could address these needs in the shortest time possible. To address the speed of deployment, we have an exciting product update. Shown here is our new fuel power source 300-ton data center-specific chiller. This chiller is built from our standard hybrid chiller. So R&D time is minimal. It takes two of our hybrid chillers and puts them end-to-end with some minor modifications to have increased efficiency and more cooling at data center liquid cooling conditions. Using bigger chillers is attractive to data centers because it saves space. It is self-contained, so it can be easily installed on a roof or outside. For example, the hybrid chillers we ship to a commercial customer in the second quarter are already running on site. They had their piping already installed. So as soon as the chiller arrived, they connected the pipes and started it up. This chiller has some big advantages for data centers. The first is, of course, bringing up power for IT. Second, a huge increase in resiliency because of two power sources. The two power sources also gives long-term fuel flexibility. A data center can choose to run the chiller on natural gas, electricity or both, all from the same chiller. Lastly, one area of particular concern to date center customers of having uninterrupted cooling. Currently, if a data center runs on electrical chillers and the power goes out, the chillers will shut down. Then a diesel generator will start up and bring the chillers back online. This process can take 5 minutes or more. Given the amount of cooling needed, customers need to install large thermal storage tanks to ride through the time between power loss and the chillers reaching full load. When a natural gas chiller or a dual power source chiller, the chiller can keep running through a blackout because they don't need electricity to run. This dual power source chiller is also something that's very hard for competitors to replicate. So we feel this gives us an added technology edge. I'll show you why it's hard to replicate. The dual power source chiller uses a patented inverter system that we developed in-house. This can take two power sources and blend them seamlessly. The underlying software and power electronics has already been proven in our InVerde product over 8 million hours of operation. It uses the same patented emission system we use in our other products for super low NOx and CO that means that data centers get easy air permits. I have sometimes been asked, why someone couldn't just buy a generator and market next to an electric chiller or a competitor could replicate our solution. The key to making a natural gas chiller solution work reliably and efficiently requires integrated controls for engine, emission and refrigeration. It also requires engine expertise, 24/7 service and a supply chain to support demanding operations. As a result, it would already be hard for a competitor to copy our DTx and STx water cool chillers. This product pushes our technology edge even further. The dual power source technology can even be licensed and integrated with chillers built by other manufacturers with some minor design modifications. As I mentioned earlier, these are all strategic options to consider once we have established demand for the solutions. The second part of securing orders is having the factory capacity to produce enough units. In many cases, potential customers wait until their anchor AI tenants are secured, then deploy capital to construct the data center. Therefore, our lead time and the ability to supply a large chunk of the data center's cooling needs is a big part of the decision making. We raised capital for two reasons: First, to have a stronger balance sheet for potential customers who feel comfortable giving us larger orders. The second is to put up in a position to build up capacity. And we estimate that with no modifications to our factory and eliminating any supply chain bottlenecks, we can build 40 to 60 chillers a year. We believe that it's possible to increase this number to 80 to 100 chillers with the minor factory modifications and utilizing contract manufacturing for certain subassemblies. For example, items such as the sheet metal assemblies on the air-cooled chiller is labor-intensive, but there are multiple contract manufacturers who provide overflow capacity for electric chillers. We are already in discussions with these suppliers. This subassembly will arrive at our factory for integration with engine and power electronics. It will be tested and then shipped. Given that we may see orders for water cooled chillers or air-cooled chillers, we are monitoring our factory to add additional test cells, and have a more flexible layout so that we can adapt to any kind of product mix. We estimate that the capital investment here is less than $100,000 but will help us react to market needs quickly. We are also working with our supply chain to identify potential bottlenecks and plan to increase inventory of items such as circuit boards, permanent magnet generators and certain other low dollar but critical items. I believe it is important to look at the road ahead in terms of milestones so that we can move towards hitting some of those strategic goals. As I mentioned at the start of the call, my goal is to maximize the value of Tecogen. In my opinion, this comes from generating enough interest for our products in the market, so demand exceeds supply. The second is to figure out the best strategic option on a go-forward basis. There are multiple ways to quantify the value of Tecogen. For example, if our solutions give a manufacturer selling complementary products a competitive advantage that allows them to secure more data center orders, and that is worth a premium. Or if a hyperscaler or large data center developer can construct a data center faster because they don't have to wait for power. Keeping this technology out of the hands of competitors is also worth a premium. But before we can explore such options, we have to meet a couple of key milestones. The first milestone is turning the LOI that we received into a PO as quickly as possible. The timing on this is contingent on factors outside our control, such as developer signing their AI tenants and unlocking construction tenants. However, both the LOI as well as all the other projects that we have been asked to quote are in high demand areas. So we believe tenants and construction financing will be equally secured. The second milestone is to secure a larger order. Given the great projects we've already quoted on the new leads we are getting each week, our goal is to attempt to sell all our capacity for 2026 to one or two customers even if this takes a little longer to secure. Concurrently, we are working with Vertiv on both the marketing and the supply chain. Originally, I thought we would not see larger projects until we had pilot projects operating. Now I believe we have the chance to secure a larger order because we've addressed or are in the process of addressing some key areas of customer concern. We have a strong balance sheet. We will have the manufacturing capacity. Finally, we have a chiller product with 2 power sources for extra peace of mind. Backlog and cash. Our current cash is probably at $18.7 million. Our cash was at $1.6 million at the end of the quarter and is now at $18.7 million post rise. As mentioned, we plan to spend cash on marketing and some key materials. Our backlog is at $4.7 million. This does not include any of the units we have LOIs for, and we are expecting another $2.5 million to $3.5 million of cannabis projects to close in the second quarter. We now -- these have been slightly delayed, but we expect these to close now in Q3 and Q4 and hopefully ship in Q4. As mentioned earlier, all our focus is presently on converting some of these larger leads into orders. It is in the best interest of the company to say, have one or two larger projects because this will act as a stepping stone to even larger projects. The last item to note is that we are considering repaying the related party note early, so we don't have any debt on the balance sheet. I'll now hand over to Roger to take you through the financials.
Roger P. Deschenes: Thank you, Abinand, and good morning, everyone. I'll begin with the second quarter 2025 results. Total revenues for the quarter increased $2.5 million to $7.3 million, which compares to $4.8 million in the second quarter of 2024, and this is due to a $3.1 million or a 54% increase in products revenues, which is offset by reductions in our service and energy production revenue segments. Our net loss decreased in the second quarter to $1.46 million, which compares to $1.54 million in the second quarter of 2024, and this is due to increased revenue and gross margin, and this is partially offset by an increase in operating expenses. For the quarter, our gross profit increased 18% due to increased revenues. Our gross margin for the second quarter of 2025 decreased by 10% to 34% from 44% in the same period in 2024. I will discuss and review the gross margin further in the segment performance slide. Operating expenses increased 9% quarter-over-quarter due to increases in administrative and R&D payroll, increased benefits and recruitment costs and higher sales commissions. Moving to EBITDA reconciliation. For the second quarter, the EBITDA loss was $1.16 million and the adjusted EBITDA loss was $1.54 million, which compares to an EBITDA loss of $2.3 million and adjusted EBITDA loss of $2.19 million in the second quarter of 2024. Improvements in EBITDA and adjusted EBITDA are due to, again, the increased revenues and gross profits we realized in the second quarter. Moving to the segment performance. Our products revenue increased in the second quarter to $3.2 million from $0.1 million in 2024. This is due to increases in both our chiller and cogeneration shipments. And this also includes initial deliveries of our hybrid drive air-cooled chiller. Our products margin increased to 29% in the second quarter of 2025, which compares to negative 43% in the same period of 2024. However, our 2025 product margin was impacted, but as Abinand alluded to earlier, it was impacted by higher costs incurred for the air-cooled chillers, which is due to low volume maturity of costs and increased labor costs, and we also sold a prototype unit at a discounted price. It should be noted also that the 2024 margin was impacted by our plant relocation in April of that year, which reduced manufacturing capacity resulting in increased unabsorbed labor and overhead costs. Our services revenue decreased 4% quarter-over-quarter to $4.0 million in 2025 from $4.1 million in 2024. Our gross profit margin decreased 9% to 38% from 47%, which is due to increased labor and material costs in our Manhattan and Jersey territory as we continue rolling out bulk oil system upgrades. Moving now to energy production. The revenue decreased by 64% quarter-over-quarter to $174,000 in the 2025 period from $482,000 in 2024. This is due to the expiration of certain contracts which occurred late in the end of fiscal 2024, and during the current period, the temporary shutdown of certain sites for repairs and maintenance. The temporary shutdown also resulted in a decrease in our gross margin to 25%, which compares to 41% in the 2024 period. Our overall gross profit margin decreased 10% to 32% from 44%. And as we have stated, this is due to the impact of the lower margins on our hybrid drive air-cooled chiller in our product segment and increased labor and material costs in our New Jersey territory and in other markets. This concludes our review of the 2025 financials and I'll turn the call back over to Abinand.
Abinand Rangesh: Thank you, Roger. When we started 2025, I had some key milestones I wanted the company to achieve. The first was signing the Vertiv marketing agreement. The second was uplifting to a national exchange. The third was to get the company better capitalized and finally get our first data center projects. We have completed most of those milestones and are well on our way to completing the last. We have achieved great market feedback and have generated leads for multiple projects that could give us the great problem of solving having enough factory capacity. Now with the dual power source chiller and a natural gas-only chiller, we have a full lineup of chiller products for the data center market. The second half of this year, we are going to remove any factory and supply chain bottlenecks, hopefully convert the LOI to a PO and make traction on these larger orders that we -- larger projects that we have quoted. I'll now open the floor for any questions.
Operator: [Operator Instructions] Our first question is from Chip Moore with ROTH Capital Partners.
Alfred Shopland Moore: Congratulations on the data center momentum. I want to ask on the LOI, is there a way to help us think about how quickly after you get that PO you can get delivery to the site? And then how should we think about that evaluation phase? Is that a 6-month process? Or what are your thoughts there? And then maybe just help us think about that total opportunity at that site. I know it's 100 megawatts or so now, but I think that can grow to 500 plus, just any help there.
Abinand Rangesh: Yes. So great question, Chip. So the first piece, I think, is that we feel that it would be worth doing some risk purchasing of materials for that opportunity. So we are planning on at least having some portion of that -- those units starting to be constructed in Q4. So I would expect to be able to ship at least part of it if things go to plan in Q4 and Q1. Those 6 chillers, just to give an idea of dollar -- I mean, it's a smaller chiller, so I would estimate that without getting into exact pricing on units, between $1.5 million and $2 million something for just those 6 chillers. But the breadth of the project will actually use substantially more chillers. I mean each -- some of the bigger phases of the project will use 20 to 30 chillers per phase. This is really just a evaluation portion. So we're taking a very small portion of the load. This -- how quickly they've built the rest of the project? It's hard to tell, I would say, sometime in 2026. At this point, I also am not -- I don't believe that this is going to be the gating factor to get other projects in the data center space. This just happens to be a great pilot project. But I think some of the other opportunities may come through without needing this to be secured before or evaluated.
Alfred Shopland Moore: Very, very helpful, Abinand. And just a follow-up on just that one. The bigger phases do you think they'd still be using the smaller chiller? Or would they potentially move to the DTx just given the higher need?
Abinand Rangesh: So one of the reasons that the smaller STx was chosen was they had designed around an electric chiller originally, and we were able to switch them to the STx. So I'm not sure what the bigger -- the rest of the project would use in terms of design. If they choose to design around our chillers from ground out, there are many other ways that they could approach it. So it's unclear at this point.
Alfred Shopland Moore: Yes. Got you. No, very helpful. If I could ask another one, just on the quoting activity, the two larger opportunities that you could potentially sell out on, I think. Just did I hear you correctly, you might not need a pilot phase there? Or how are you thinking about that?
Abinand Rangesh: At this point, that is one of the hardest pieces that we are trying to work through internally because those bigger opportunities, the potential customer has not brought up anything about a pilot phase, especially if some of those might actually use that dual power source chiller, I think the customers feel that they have some level of redundancy there. The other piece on those projects are the underlying data centers are much bigger. So we are not the only source of cooling on site. So we may be a portion of the bigger sets of cooling over there. So it's unclear whether those will be -- we could secure them without any pilot at this point. And that is part of what we're working through in the second half of this year to work through what any potential customer concerns may be and how we can allay them. I believe a lot of the feedback we're receiving is really tied to lead time and the ability to manufacture enough chillers that it would be a meaningful reduction in power. The way we are viewing it is that many of these larger projects don't want to allocate a tiny amount of chillers to us and then have everything else come from electric because that doesn't really solve the underlying problem. So if we can show them that we can actually hit a meaningful amount of their overall power needs. I think that's really what's driving that decision there.
Alfred Shopland Moore: Interesting. Yes. Good problem to have. And maybe the follow-up there is some of the smaller opportunities, the modular data centers you're seeing inbounds on and then obviously, Vertiv sort of set to ramp up their marketing efforts. Just given some of those constraints, how are you thinking about prioritizing some of these other opportunities when you could be sold out pretty quickly?
Abinand Rangesh: I think that's essentially a good problem to have, and I think that is exactly what we're going to use to try and secure some of these bigger projects. The way we're approaching some of these bigger potential projects is being very open about what our pipeline looks like and telling them whoever wants to buy up the capacity in one shot. That is really their best option because it gives them the fastest way to get more power. I think the needs of some of these projects are such that the technology risk is relatively low because they have other chillers, they have ways to back it up, that it's in their best interest to do so. If things like modular data centers, other items do come through, they come through, hopefully, those opportunities could come through before something bigger like this happens, we don't know. If those do, I think the reality is we could add additional capacity, right? We have a little bit of time. If we're able to secure some of these bigger orders early enough, then the next phase is, okay, how do we scale up beyond this.
Alfred Shopland Moore: Great. Very helpful. Maybe just a last one for me, if I could. That new dual power source product, very interesting. How much is that customer driven? I know there's a lot of focus on demand response type capabilities, obviously, the resiliency piece, but particularly for AI loads versus some of the legacy loads just -- what's the reception there and how customer driven is that?
Abinand Rangesh: So that one is almost fully customer-driven because what we were finding when we went to some of these potential customers with the DTx chillers, some people said, look, we have enough water. We have -- we don't mind having a water cooled chiller that can use a cooling tower. There were some other people that said, look, we just don't want to use water on site. We want -- we primarily buy electric air-cooled chillers today, we want something that's an equivalent amount. We understand the value proposition of moving to natural gas, but we want something that is essentially identical in terms of both footprint as well as not using water as an electric air- cooled chiller. So since we have this hybrid chiller already in, a normal cooling condition, like in air conditioning cooling conditions, that's only 100-ton chiller. But one of the other piece of the feedback we were getting was provide us a way to get more cooling because we don't want to use 300 tiny 100-ton chillers. We'd rather have 150 300-ton chillers because it just takes less space. You don't need as much space around the chiller and so on. So -- we felt this isn't very hard for us to take that 100-ton chiller and modify it so it can be -- you could put two of them together and really get a 300-ton chiller. And the reason for that is because when you're operating in liquid cooling loads, you operate very warm water. They operate 70-degree water instead of 45-degree water as you might do in an air conditioning application. So chillers become more efficient, you get more cooling out of it. So we could have a larger chiller just by having two of them. And I didn't want us to go into a big R&D project because that takes resources away from what we really need to achieve right now. So by building on the back of what we already had, we felt like we were addressing the customer needs because some customers really want that air cool, some would want the water cool. So there's different trade-offs that happen by choosing one or the other, we wanted to be able to address the needs of a broader chunk of the market.
Operator: Our next question is from Alex Blant with Clear Harbor Asset Management.
Alexander M. Blanton: I wanted to ask about whether or not you can get help from Vertiv in terms of capacity needs. Is there any thought to doing that or is that practical? Because if you need additional manufacturing capacity, it might be available there.
Abinand Rangesh: Yes. I can't really comment on anything -- any ongoing discussions with Vertiv because all of that covered by our confidentiality agreement. What I can say, though, is the original marketing agreement from day 1, always contemplated Vertiv helping us with the supply chain. If you look at the marketing agreement, it says that Vertiv will help us get better supply of components. So that is something that we plan to rely on Vertiv for because that's really where, especially when you look at the dual power source chiller, there are a lot of components there that we -- if there are bigger opportunities, we can work with Vertiv on supply chain.
Alexander M. Blanton: Okay. That's helpful because that should be a marketing point, too, if you have the help of a larger company available to take care of some of these big orders. Secondly, I wasn't clear on what the -- when you talked about the $1.5 million to $2 million, was that for all 6 chillers? It was...
Abinand Rangesh: Yes. So the STx is -- I'd say between $1.5 million and $2.5 million. The STx is a much smaller chiller. So like the -- so we have a whole range of different chillers at different prices, right? Most of the other data center opportunities are much, much larger. And I know people would like an average dollar per ton in terms of what we do on like what's the revenue worth, right? I think that's what everyone is trying to really ask. So in our previous call and on our investor slide deck, what I had mentioned was something like 11,000 tons of cooling would represent somewhere around $13 million, maybe a little more, a little less, depending on pricing and what -- which chillers it is. So -- and I would -- that kind of gives you a rough idea in terms of dollar per ton. And STx is roughly a 200-ton chiller. So that kind of gives you a rough idea of what the dollar per ton is. I don't want to get too much into pricing on units, just purely for the fact that we have -- this is something that we just don't disclose to the market possibly. But the other point I want to make around that is the real goal here is to get us to that point where like the short-term revenue and all of that it matters. But to a large extent, it's getting ourselves into that position where the -- that the first few larger projects really happen. Because once those happen, there's more than enough of a market here that people will want to use this as part of the broader range of solutions they're using to solve their power [indiscernible]. And once we're at that point, we have many good options, including we can get margin down just by operational -- I mean, margin up by operational improvements. We can do one of the potential options that I put out earlier, right, was licensing some of the technologies. There are many ways to grow this company in a way that makes sense for shareholders. So -- the key is to get a number of chillers out there. That, I think, is going to be the gating factor in terms of being viable for much of these -- the broader market that exists in the data center space.
Alexander M. Blanton: Just to clarify, the 200-ton, that's a smaller one?
Abinand Rangesh: Correct.
Alexander M. Blanton: And what's the designation on that, again?
Abinand Rangesh: That's the STx.
Alexander M. Blanton: And the $1.5 million to $2.5 million is 6 of those, is that it?
Abinand Rangesh: That is correct, yes.
Operator: There are no further questions at this time. I would like to hand the floor back over to management for any closing comments.
Abinand Rangesh: Thank you very much for being shareholders of Tecogen, and I look forward to being able to update shareholders as we make further progress in this industry. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.